Operator: Good day, everyone, and welcome to the Equity Residential 3Q 2014 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the call over to Marty McKenna. Please go ahead.
Marty McKenna: Thank you, Pam. Good morning, and thank you for joining us to discuss Equity Residential's third quarter results. Our featured speakers today are: David Neithercut, our President and CEO; and David Santee, our Chief Operating Officer. Mark Parrell, our Chief Financial Officer, is also with us for the Q&A. Please be advised that certain matters discussed during this conference call may constitute forward-looking statements within the meaning of the federal securities laws. These forward-looking statements are subject to certain economic risks and uncertainties. The company assumes no obligation to update or supplement these statements that become untrue because of subsequent events. And now I'll turn it over to David Neithercut.
David J. Neithercut: Thank you, Marty. Good morning, everyone. Thank you for joining us for our call. As we've said for quite some time, that we're very confident. The impact on multifamily fundamentals by the millennial generation and their desire to live in high density, urban environments with the flexibility and optionality provided by rental housing would produce an extended runway of growth for our portfolio. That is certainly what we are seeing today and expect to see for the foreseeable future. Thanks to a great leasing season and the hard work of our teams across the country, we expect to deliver same-store revenue growth for the full year of 4.1%, which is above our original expectations and at the high end of our most recent guidance. This comes from continued exceptional growth from usual suspects, markets that are enjoying strong job growth and are highly attractive to young millennials, such as San Francisco, Seattle and Denver, along with very solid performance from other markets, including Southern California. This strong revenue growth will help produce full year 2014 normalized funds from operations of $3.12 to $3.14 per share. The results are above both our original and most recent guidance and represent a year-over-year increase in normalized FFO of nearly 10%, an increase that is among the largest we've experienced in the last 15 years. And it's because of the incredible portfolio we've assembled over the last few years, concentrated in high density, urban markets with close proximity to public transportation, dining, culture, education, nightlife and the like. The demand for high-quality rental housing in these markets remain very strong. Occupancies were at all-time highs for this time of the year. Renewal increases are at the highest they've been all year and our current left to lease remains below normal levels. In short, fundamentals remain very good. With continued strong demand for quality rental housing like that provided by every residential, and we're delighted with where we are currently positioned with our performance this year, and we all eagerly await the year ahead. So with that said, I'll now let David Santee, our Chief Operating Officer, discuss in more detail what we're seeing across our markets today and how that is shaping our thoughts about 2015.
David S. Santee: Thank you, David. Good morning, everyone. We are extremely pleased to produce another very strong quarter, and I would like to take a moment to recognize everyone on the EQR team for all of their extra efforts during our peak leasing season and continued excellence in the execution of our operational strategies. Our reported third quarter revenue growth of 4.1% and commitment to delivering results at the top end of our revised revenue guidance represents continued strength in fundamentals and acceleration in many of our key drivers of revenue growth. First, this change in physical turnover. Although we reported a slight increase, it is directly attributable to an increase in the number of intra-property transfers, meaning, residents moving between apartments in the same community. Netting out transfers for the quarter, resident turnover was flat and down 150 basis points year-to-date. We also believe it's important to understand the motivations and economic impact behind these transfers, which represent over 10% of move outs in any given year. Through September, 64% of all these intra-property transfers moved to a larger and/or more expensive apartment, paying an average increase in rent of $349. All transfers, both up and down, produced an average favorable rent change of $66 per month. The continued decline in turnover helped by a 90-basis point quarter-over-quarter reduction in move outs to buy homes gave us confidence to maintain our aggressive pricing strategy despite record deliveries and lease-ups across many of our markets. Net effective base rents have increased 6.7% year-to-date and for the third quarter average 4.5% greater than Q3 of '13. Renewal rates achieve accelerated for the fourth time in 4 quarters moving from 5.2% in Q4 of '13 to a very strong 6% in Q3. We would expect to see similar results through the year end though transactions will be few. Increased demand as a result of an improving job market allowed us to maintain our aggressive stance with pricing, but also realize substantial occupancy gains during the peak leasing season, increasing from 95.7% in '13 to 96.1% this quarter. Year-to-date, occupancy stands at 95.7%, a 30-basis point improvement. And as we sit here today, occupancy is 96.2% versus 95.4% same week last year, with 120-basis point improvement in left to lease down to 5.9%. Looking out over the fourth quarter, we, of course, anticipate the typical seasonal slowdown. However, our net effective base rents remain elevated over same week last year, creating year-over-year net effective rent growth in excess of 5%, the highest year-to-date. Should this trend continue and we don't experience the full effects of the normal seasonal decline in both rents and occupancy, it is possible that we can slightly exceed our revised full year revenue growth of 4.1%. Now going around the horn with some brief market highlights, Seattle continues to outperform with 100 basis points better occupancy. Renewals achieved for September and October are above 9%, and net effective base rents are up 5.7% versus same week last year. Our delivery estimates for 2014 and '15 are 7,800 and 7,300 units, respectively. Growing relocations of various company and regional headquarters, Oracle as an example, offer encouraging signs of continued diversified demand in the urban core. Amazon alone has over 4,800 open positions in its downtown locations. San Francisco, the only question here is how high can it go. With few deliveries relative to demand, San Francisco's positioned yet again to lead the way. Renewals achieved for September and October were once again above 10%. Occupancy today is 97.1%, which is 130 basis points better than same time last year, and left to lease is 170 basis points better at 4.7%. Net effective base rents are 12.5% above same week last year, and there are no indications that this will slow down in the next couple of quarters. Now like the other West Coast markets, L.A., Orange County and San Diego are all experiencing 80 to 90 basis points improvement in occupancy and lower left to lease. All 3 are experiencing broad-based job growth and improving fundamentals. L.A. will see elevated deliveries in 2015 at 8,800 units. However, the downtown area is quickly establishing itself as the place to be, pressuring the West L.A., Santa Monica and Marina submarkets, which are also in a repositioned play as the Silicon Beach. Playing host to new tech startups and satellite location for the Googles of the world, providing more affordable living options relative to its Northern California headquarters. Orange County remained solid with 2,900 new deliveries slated for 2015. While job growth is broad-based, the majority of deliveries will be concentrated in Irvine, where job growth is 5x the growth of Orange County as a whole. Jumping East, going to Boston, it will continue to be pressured in the financial district in Cambridge, as new lease ups come online. Concessions in the 2- to 3-month range are commonplace, but the net effective costs of the 12-month lease remains higher than stabilized well established product. Occupancies remained healthy with 7,000 units absorbed year-to-date, with 5,100 deliveries slated for 2015. Seasonal demand is very pronounced in Boston, and we would expect moderation in occupancy and rental rate growth through Q1 of next year. Now in New York, we are continuing to deliver solid and steady growth in Manhattan. And for definitional purposes, Manhattan also includes Brooklyn and Williamsburg, and we delivered a 4.2% for the quarter. With elevated deliveries in both Brooklyn and the Jersey Waterfront, we would expect some moderation in Brooklyn, but significant pricing pressures in Jersey. With continued strong population growth, well diversified job creation in Silicon Valley, Manhattan should be a solid steady performer for years to come. Now it's no secret that South Florida is at it again with almost 11,000 deliveries for '14 and another 12,000 in 2015. With over 50% of the deliveries in the Miami Brickell submarket and the balance East of 95 from Fort Lauderdale North, the EQR portfolios should be well insulated both geographically and by price point. Saving the best for last, Washington, D.C., thus far, continues to hold up pretty well. Renewals achieved remained above 3% for the quarter and through September. Over 14,000 units have been absorbed year-to-date and our portfolio continues to perform slightly better than our original 2014 expectations. With another 12,600 units coming online in '15, we remain cautiously optimistic that next year's results will be similar to slightly worse than 2014. More than half of '15 deliveries are located outside the Beltway, concentrated in the I-270 corridor and South on U.S. 1 between Pentagon City and South Alexandria. The RBC corridor, Arlington and D.C. proper all have significantly fewer deliveries going forward and to date have been some of our better performing submarkets. Expenses for the quarter increased 60 basis points year-over-year and are up 1.7% year-to-date. Third quarter expenses were favorably impacted by the adjustment for full year real estate taxes as a result of 2 significant appeals that we won in Florida. We just didn't expect to resolve those appeals this year, but those came through late in the quarter. Continued reductions in property management costs as a result of efficiencies drive from the Archstone integration and restructuring as well as natural gas and electric costs continued to moderate with utilities declining 1.3%. For full year '14, we would expect expense growth to be 2.2%. With year-to-date expenses of 1.7%, Q4 expense is expected to grow 3.6% will be driven by slightly higher utility costs, real estate tax of 5.7% and higher payroll costs as a result of stabilized operations from the Archstone integration. Now as we think about 2015 and our preliminary guidance of 3.5% to 4.5% top line growth, we'll be making adjustments to our 3 buckets of market revenue growth. Washington, D.C. will continue in a bucket of its own with a revenue decline of approximately 1% again for 2015. While D.C. has absorbed more than 14,000 units thus far, we are still at the midpoint of delivering a combined 30,000 units for this year and next. Our middle bucket of 3% to 5% revenue growth will consist of Boston and New York. New York should produce full year results similar to 2014, while Boston will be closer to 3%. Our plus 5% revenue growth markets continue to be led by San Francisco, Denver and Seattle. Los Angeles should be a solid plus 5% performer with Orange County, San Diego and South Florida crossing the 5% threshold early in the year. For expenses, 2015 are built from the ground up. But as we think about them today, real estate taxes will have [indiscernible] handle and make up 34% of total expense. We should see moderate growth in payroll as a result of diminishing returns from the Archstone integration. However, utilities should produce meaningful year-over-year reductions in costs, as a result of lower natural gas and electricity costs. All combined, real estate taxes payroll and utilities make up almost 71% of total expense. With that in mind, we would expect 2015 expense to be modestly higher compared to 2014 with more color to come on our Q4 call. So we are mindful that many markets will continue to have elevated deliveries. We believe that improved job growth is upon us and delays in marriage are creating additional demand. People of all walks of life are seeking a lifestyle in the city and renting by choice. Owning a home is no longer a required variable in the calculus of achieving the American dream, and homeownership rates continue to decline. Certainly, this must be a formula for outsized demand for quality apartments that should produce above trend revenue growth for some time to come. David?
David J. Neithercut: All right, thanks, Dave. Now clearly, we remain excited about the strength and fundamentals we continue to experience across our markets. As David noted, really driven by an improving economy, steadily improving job growth and recovering unemployment rate, we remain confident that due to a very favorable demographic picture and the noted changing lifestyles, plus millennials staying single longer and they really are embracing the flexibility provided by high-density rental housing within close proximity to their friends and their favorite activities. We've got a lot of run rate ahead of us for continued strong revenue and NOI growth, which will result in favorable growth in normalized FFO and our dividends payments as total shareholder return for years to come. With the heavy lifting of our portfolio transformation behind us, our transaction activity today is more fine tuning in nature as we complete a few remaining market exits and redeploy that capital in the longer-term core market investments. We sold 3 non-core assets in the third quarter, 2 25-year-old garden assets in Florida and a 44-year-old asset 100 miles west of Boston, Massachusetts. We realized an 11.8% unleveraged IRR inclusive of management cost on those deals. During the quarter, we bought one property, 308 units in North Hollywood, California that had been built in 2013. Our guidance for the year remains to buy $500 million of assets and sell $500 million at a spread of 100 basis points, and that spread being the difference between the yield we are selling, and that which are buying. This suggests that we have $125 million of acquisitions yet to do this year and $300 million more in dispositions, all of which must be done significantly tighter than the 140 basis point spread realized year-to-date. We're currently working on a couple of acquisitions that could get us to our $500 million target, we hope to close by year end at high-4 yields. And on disposition front, in addition to the nearly $200 million sold to the first 9 months of the year, thus far in the fourth quarter, we've sold a couple of yields in Orlando for $150 million at 6% yield. And we have a half a dozen other disposition candidates in various stages of the process. And several of these deals represent less desirable assets but in our core markets that will trade at yields in the low to middle 5s, which is significantly lower than those realized in our exit markets and will bring our weighted average disposition yield to somewhere near the high 5s by the end of the year. And lastly, I'll reiterate that the disposition yields we provide are the forward 12-month yields that we are selling. The true cap rate, however, really that being the yield that the buyer acquired is significantly lower than our disposition yield when adjustments are made for increases in real estate taxes and insurance. Now we're excited to commence construction in the third quarter on a 40-story tower in downtown Seattle on Pine Street, just 2 blocks from Pike Place market. This asset is expected to cost $200 million net of some additional air rights that we expect to sell at a later date. The tower will be delivered in 2017, and produce a yield on cost in the high 4s on today's market rents, and it's expected to stabilize in the upper 5s. This trend transaction brings 2014 starts to date to $829 million, which includes 2 high-rise towers, 1 in downtown San Francisco and that which we just started in Seattle. It's also possible that 2 additional projects could begin yet this year, totaling $300 million, which are also in San Francisco and Seattle. But if they don't get underway yet this year, they most certainly will early in 2015. We completed roughly $500 million of development projects this year, and we currently expect these new assets to deliver low- to mid-6% returns on current rents in markets where core product trades solidly in the 4s, such as downtown LA, Seattle and Pasadena. We also have another $830 million of projects underway that will be completed in 2015 and our current forecast are that next year's deliveries will yield in the low 6s. This includes 2 new towers in New York City and new product in San Francisco, San Jose and Seattle. During the third quarter, we acquired one land site for the 2016 start of a 33-story tower in the financial district of downtown L.A. containing 428 units, for a total development cost of $200 million, mid-5% yields at current rents, and we'd expect that yield to stabilize in the mid-6s. So before I open the call to questions, I'd like to give a little shout out to the entire team at equity for having recently been recognized by GRESB as the residential large cap sector leader in sustainability. Sustainability is an important initiative here, one that is not only the right thing to do, but one that is having a strong bottom line return for the company and we're very proud of the work that Lou Schotsky and many others around the country have been doing to produce such positive results and favorable recognition. So, Pam, we'll be happy to open the call to questions now.
Operator: [Operator Instructions] We'll take our first question from Nick Joseph from Citi.
Nicholas Gregory Joseph - Citigroup Inc, Research Division: David, you talked about the strong multifamily fundamentals and clearly, we're seeing them in the results and the outlook. What's the largest risk to the strong multifamily outlook going forward?
David J. Neithercut: Well, look, I think that the demographic picture is very strong. We're certainly seeing the job growth in the markets in which we operate. I tell you, the things that we think about as sort of risks to us are safety and security of our center cities. But I think that's not an immediate concern. But that's something that we've talked a lot about. I'll tell you that I think one of the limiting factors on the growth of these and the long-term power of these center cities is public education. I think that's something that will send a lot of people to the suburbs. But I think that the demand for housing in these cities there today, the jobs are being located there, the companies are relocating back to the city, we're seeing here in Chicago on a regular basis. And we're obviously very optimistic about the long-term upside of the sort of this reurbanization of the country today.
Nicholas Gregory Joseph - Citigroup Inc, Research Division: Then in terms of the balance sheet, you have $450 million on the line right now and $300 million of higher-coupon debt coming due in April. What are your thoughts on addressing those? And could we see opportunistic in the near-term given where rates are? Or is that more of a 2015?
Mark J. Parrell: Hey, Nick, it's Mark Parrell. I think even more as a 2015 thing. We have done some hedging in anticipation of that maturity as well, as some secured debt maturities we have later in 2015. So right now, our expectation is that we would deal with that in 2015, given that we have the protection on the hedges. But we'll watch the market and if something really changes dramatically, I guess, we could do something, but right now, that's not our expectation.
Operator: We'll go next to Dave Bragg from Green Street Advisors.
David Bragg - Green Street Advisors, Inc., Research Division: Last quarter, you suggested that there was a lot of product on the transaction market and seems to suggest that there was a possibility that you would exceed your acquisition guidance for the year. David, could you talk a little bit more about what you've seen over the last few months and the opportunities that may have not materialized?
David J. Neithercut: Well, we've certainly seen more product this year. And there's certainly more activity, transaction activity this year than a year ago. I tell you, there has been lots of things that have traded that we've watched very closely and decided not to bid on or bid this sort of stay in the process, but knowing that we would not get just given how aggressive pricing can be for the kind of product that we'd be happy to own -- add to our portfolio. There have been deals that have been shocked in portfolios that have been withdrawn because seller's expectation of the portfolio did not met. And they'll now, perhaps be broken up and be sold individually. And we may or may not transact on some of those individually. And frankly, I tell you, there are some portfolios that have been buyers or sellers expectations were met and they've just kind of been pulled from the market. So there certainly has been an increase. We've bird-dog kind of all of it. But we now think that we felt has been particularly opportunistic as you note. There are things we bought that have been in lease up. We're pursuing a transaction today that is in -- still under construction. So there might be some opportunities for us to sort of play here and there. But, I guess I'll tell you, Dave, that there's nothing out there that we need to buy. There's nothing out there that's hugely strategically important for us. And if we can find the right trade opportunity, the right things to buy, at the time we believe we're getting good value on what we want to sell, we'll transact. But if we can find that's, we won't.
David Bragg - Green Street Advisors, Inc., Research Division: Okay. And we noticed a pretty big increase in CapEx in the quarter on a year-to-date basis. You're up pretty meaningfully year-over-year. Can you talk about that and what the expectations are for 2015?
Mark J. Parrell: Sure. It's Mark Parrell. I think for '14, we'll be pretty close to that $1,700 number. Dave, we increased our [indiscernible] spend guidance a little bit. We are doing rehab at a faster pace, and we have teams working really hard and doing some good work for us. And building improvements probably a little lower. But that's just timing, that's just projects moving between the years. I would think next year will be similar to $1,700 number, which again, we think about also as a percentage of rent. So this new portfolio has obviously, much higher rents, much higher per unit values. And so we think the CapEx spend really matches up with that pretty well. And in terms of the changes from last year, last year's numbers didn't include the Archstone spend to the same store set. So the numbers you are comparing are a bit apples and oranges.
David Bragg - Green Street Advisors, Inc., Research Division: Right. So you're spending significantly more on the Archstone assets, legacy assets?
David J. Neithercut: Well, we're spending significantly more, I would say, on assets in general because we have these higher cost assets in higher cost markets. The Archstone projects or deals are getting a little more attention. But for example, rehabs were 2/3 EQR legacy properties and 1/3 Archstone legacy property. So that's about the right split between the portfolio NOI.
David Bragg - Green Street Advisors, Inc., Research Division: Okay, great. And the last question on that, what's the contribution that you've seen in 2014 to NOI growth from this activity? What do you expect in 2015?
David J. Neithercut: So again, we do leave our rehabs in same store because as a percentage of the value of the assets are pretty small. We do know others take rehabs in and out. And that's just not something we do, we leave them in. But it's still pretty modest as you look at the whole portfolio. So something on the order this year of 15 basis points would be the contribution year-to-date. That would be our expectations going forward, 10 to 20 basis points, Dave.
David J. Neithercut: Now I guess, the only other thing I'd add there is we're averaging 12 -- $10,000, $12,000 per unit spend and all those ideas of rehabs that can be $50,000, $60,000, $70,000 per unit. So it's a little different activity that we're conducting than what we understand in some of our peers might [indiscernible].
Mark J. Parrell: And just to finish that thought. I mean, the Breakwater, the Marina del Rey deal at Breakwater, which is looking on our development page, that was $100,000-plus unit rehab. It was an empty property we emptied out. That isn't the same store and never was. These other rehabs are often done when occupied. It means for us, it's appropriate to keep those sort of rehabs in same-store, and to take these big major rehabs out.
Operator: Our next question comes from Jana Galan from Bank of America Merrill Lynch.
Jana Galan - BofA Merrill Lynch, Research Division: A question for David Santee, if you could please provide a update of rent as a percent of income and maybe highlight some of the markets like San Francisco that saw 12.5% year-over-year growth?
David S. Santee: Well, I think, we've kind of discussed this before in that we measure income one time when folks move in. And because we use the same qualifiers, I mean that percent of income really never changes. So when we look at San Francisco today, the median rent percent of meeting income is 24%; Southern California, 23%; Seattle is only 19%. So the numbers really don't change as people with higher incomes continue to backfill the people that move out because they can't afford the rent.
Jana Galan - BofA Merrill Lynch, Research Division: And you mentioned move out for homeownership were down about 90 bps. Can you provide steps and other reasons to move out?
David S. Santee: Yes, I mean, year in and year out, the #1 reason is really job change. Either people need to relocate or transferring, what have you, that always runs kind of in the 23% to 24% of move outs. Rent increases, too expensive, those have been really -- when you look back at the last 7 or 8 quarters, it's been 12% to 13%. Obviously, some markets are more dramatic than others. There for a while, San Francisco was 30%, 33% of move outs. And then bought home is typically the third. So as far as the overall makeup of move out. It's still pretty consistent with job change #1, increase to expenses #2 and then bought a home #3.
Operator: We'll go next to Rich Anderson from Mizuho Securities.
Richard C. Anderson - Mizuho Securities USA Inc., Research Division: So when you were thinking about your outlook for same-store revenue, it's 50 basis points higher this year than it was last year. And I'm curious what kind of were you thinking then versus now? Is it a rehab impact as Mark described? Or is there something more optimistic that you feel about for 2015 versus starting point last year?
David S. Santee: Well, I would first say that we kind of build this from the ground up. We start with embedded rent. So we start with the projected value of the rent roll in Q4. We look at turnover and know that in a lot of these markets we have below 50% turnovers. So you can pretty much count on the renewal increases to come through for you. And then it's just a matter of what you think rents are going to grow next year in the markets. I would say that we definitely have a higher degree of confidence in the Southern California markets to produce greater growth than we've seen in the past. I think we're probably a little more optimistic on D.C. than we were last year. That's not to say that DC is going to make some big turnaround. But certainly, it performed better than we thought. This year, we're just kind of taking the same assumption next year. When you put all that into the blender, that's how we get our range.
Richard C. Anderson - Mizuho Securities USA Inc., Research Division: Okay. You mentioned, David, that the new supply happening in Florida, Southern Florida. On the topic of fine-tuning from a transaction and kind of portfolio pruning perspective, will Florida now kind of register in the market where you start to get in front of what could be some supply pressure in the next couple of years?
David J. Neithercut: Really, the focus will continue to be on the exit markets that we've been working on. And we've got, I think, desires to sell more kind of older noncore assets in some of our core markets. But no market is immune or off-limits from selling asset, we think we can trade those dollars into better performing other assets. But the focus will be on Inland Empire continuing in Orlando. Some far out in Western Massachusetts' assets, some maybe some suburban stuff in D.C., Inland Empire. I think the priorities will likely be there.
Richard C. Anderson - Mizuho Securities USA Inc., Research Division: Okay. And then my last question, do you have a statistics on the percentage of your tenants that are married?
David J. Neithercut: What we know is that nearly half of our units are occupied by single individuals. We know -- and units are occupied by 2 adults. We don't always know what marital status is.
Operator: We'll go next to David Toti from Cantor Fitzgerald.
David Toti - Cantor Fitzgerald & Co., Research Division: Just quickly, David, I want to go back to the emphasis on the urban renter and the urban product that the company has been focusing on for some time. We hear from some peers that actually they're concerned about urban locations given generally higher levels of supply delivery, and there seems to be a focus from some of your peers to be on more suburban assets. Could you maybe just comment on -- do you believe that's through that risk of supply is higher? And is there any way that you cut the portfolio performance relative to urban versus suburban if you looked at that on a go forward basis?
David J. Neithercut: We're certainly aware of what elevated deliveries have been maybe in D.C. and in Boston up in these urban markets. That doesn't change our long-term view that these are the best long-term performers, and will provide us with a higher long-term total rate of return. This increased density bring more people, brings more activity, supports more restaurants, more bars. I mean, it is very much a lotus of the lifestyle that we believe that our demographic would prefer. I think that these young people want to be downtown, they don't want to be in the suburbs. And I'm not suggesting that you can't build and lease units in the suburbs. We just -- we think that the impact, the long-term impact will be greater being downtown, notwithstanding some, what we believe are short-term elevated levels of deliveries in some of these markets. We think that the peak is here or nearly 2015. It will come down from there. The absorption that we've seen, for instance, in D.C., I think continues to give us confidence that this is where people want to be, and it will pay off for us over the long term.
David Toti - Cantor Fitzgerald & Co., Research Division: Does it suggest then that perhaps, the suburban renter, if you're going to really aggregate that individual is older, perhaps married? And maybe a little bit less elastic in terms of rent and price tolerance?
David J. Neithercut: I guess, I think one can make assumptions like that. We've not done any real hard diligence on that. I guess my sense is, my personal sense is people that are renting in the suburbs want to be in the suburbs and likely be homeowners in the suburbs. And people that are renting downtown want to be downtown, and it will be long time before they're homeowners in the suburbs.
David Toti - Cantor Fitzgerald & Co., Research Division: Okay. I'm just trying to explore that, that sort of theory a little bit. Just one last question on the development pipeline. For the recent projects, are you seeing -- are you basically underwriting significantly lower yield expectations on these assets? Or has the yield generally remained pretty steady and maybe some -- if you just can quantify that to some extent, that would be helpful.
David J. Neithercut: I mean, as we -- as we're underwriting new deals?
David Toti - Cantor Fitzgerald & Co., Research Division: Yes.
David J. Neithercut: Yes, well, certainly, yields have come down. So, I mean, the product that we built in 2010, 2011 that is now sort of stabilized, they're stabilizing in the high 7s and the 8s. That product and lease-up today, which would've been started a couple of years ago are probably in the mid-6s. Things that are being completed soon will kind of be high 5s, low 6s. So clearly as construction prices have increased and land prices have increased, yields have certainly come down. And as I say, the things we're starting today, we think are low 5s to 6. So you're certainly getting better returns on that, which you started coming out of the recession, if you have had land priced at what you could buy at the recession. If you were carrying legacy land, you wouldn't be able to realize those same returns. But certainly, you're getting lower returns today than you were putting projects in service 4 years ago.
Operator: We'll take our next question from Nick Yulico from UBS.
Nicholas Yulico - UBS Investment Bank, Research Division: A couple of questions. Going back to the preliminary talk about expenses next year. I think you said, Dave, modestly higher than 2014. I wasn't sure if that related to the modestly higher than the 2.2% growth level this year.
David S. Santee: Yes. Modestly elevated compared to the 2.2%.
Nicholas Yulico - UBS Investment Bank, Research Division: Okay. And then turning to New York City portfolio. Can you remind us, I think, some of your assets there have 421 abatements, which will eventually be rolling off at some point. If you remind us how many of those assets have those and when those abatements might roll off? And how are you thinking about that process in relation to maybe looking at those assets as being good candidates for condo conversion, sales not doing it yourself.
David J. Neithercut: Well, I don't know off the top of my head how many are subject to 421A. But there are fair number of them. And they are all in many of them in the process of burning off, because they do burn off over an extended time period. And the impact on real estate taxes next year because of 421A burn off is what, David?
David S. Santee: That's 160 basis points.
David J. Neithercut: So significant percent share of our increase in real estate taxes next year is a result of the burn off of the 421A. And then your second question with respect to interest in kind of medium conversions of our properties, we're open-minded about selling things in New York city if people will pay us premiums for them.
Nicholas Yulico - UBS Investment Bank, Research Division: Okay. But I mean, you're not at the point now where you've identified several of these assets that you're going to be facing higher real estate taxes and you're thinking about bringing those to market to sell.
David J. Neithercut: There's no such activity underway at the present time.
David S. Santee: We have quite a number of 421A assets. Just sitting here, looking at the percent of tax, it could be 30% to 40% of our assets in New York. But we have -- because there's step-ups every 5 years or what have you over 15 or 20 years, we're experiencing step-ups pretty much every year to varying degrees.
Operator: We'll go next to Alex Goldfarb from Sandler O'Neill.
Alexander David Goldfarb - Sandler O'Neill + Partners, L.P., Research Division: Two questions. One, what is your take for why we're seeing apartment fundamentals accelerating? I mean, if you look at the economy, it generally seems to be following the same trend. It's not like the economy has suddenly shot off the roof and job growth is through the roof, et cetera. And this supply picture hasn't dramatically just dropped. So why do you think that we're getting a sort of acceleration of apartment fundamentals when one would think that you'd sort of get maturation of the cycle?
David J. Neithercut: I think it just been a slow and steady improvement. I think that we've sort of seen this over the past 3, 4 years. It's just been slow and steady improvement. We're starting to create jobs and employment rate is coming down slowly, but surely. We'll get some economic activity happening. And the demographic picture is not impacted really, by what's happening in the economy. So there are still 4 million young people a year turning 21 years of age in this country. I mean, in formal households and we're seeing a lot of them move to the city. So I think it's just been a slow and steady process. And frankly, don't forget that we've under built housing in this country over the past half a dozen years. We certainly didn't deliver a lot of product in '09, in 2010. And so I think we're still behind, frankly, I think what a normal level of new supply might be. So I think those things all add up to just continued slow and steady fundamentals in the business that continued to look really good for us.
Alexander David Goldfarb - Sandler O'Neill + Partners, L.P., Research Division: So last year where we sort of had a pause in the second half of the year, so you wouldn't -- would you attribute that more towards sort of renter adjustments to the new levels? And now that everyone has accepted the new rents, it's just moving on? Or should we -- are you think that maybe next year, we see some perspective some of the increases we've seen this year?
David J. Neithercut: I guess I don't really have an opinion about that, Alex, I'm sorry. Again, David just mentioned we get through the highest occupancy, we ever had this time of the year. Our left to lease is low. So just basic fundamentals are good. I will tell you we get pushed back all the time from people about rental increases. Many of whom go out, shop the market, come back and accept the renewal offer. Others can't, as David noted the second biggest reason people move out is they can't afford it. But we've got people who will -- are happy to move back in, who move in with a higher income of the person that left. So again, I just think it's kind of a slow and steady event. I think that the interest in owning single-family homes is not there of our tenant profile. Again, nearly being half of our units occupied by single individuals. For those who might like to own a single-family home, down payments are stretched and getting financing is difficult. So I think all of those things add up to just continued slow and steady improvement in fundamentals and just a very positive outlook for us.
Alexander David Goldfarb - Sandler O'Neill + Partners, L.P., Research Division: Okay. Second question is given how the tenures come down and the demand for especially CBD real estate just seems to continued increase. Are you guys seeing more demand from institutions to own infill CBD apartments? Or are the cap rates still top for pension funds to digest?
David J. Neithercut: Well, I guess I'd say that cap rates relative to the 10-year treasury might be as positive and as wide as they've been in quite some time. We're still seeing interest in institutions owing these kind of assets. And a deal just traded in Seattle a half a block away from the deal that we're now building on Pine Street that traded like 3.5, and they're happy to have it. And they think they might acknowledge, there might be a 5% IRR up, but 10-year treasury level today, that's -- they think that's a very acceptable spread. I guess what I'd say is, there may be fewer of those institutions chasing those deals today. But there's still enough of them to get done at very, very strong pricing.
David S. Santee: And, Alex, that you were right last week. There's a lot of discussion, pardon me about foreign buyers and their interest in multifamily in these markets that they find these sort of core markets highly desirable. They like the return, they like it as a safety play and that folks across the country are seeing some added interest from foreign buyers that really weren't that common as buyers of multifamily in the past.
Alexander David Goldfarb - Sandler O'Neill + Partners, L.P., Research Division: And that is a shift.
Operator: We'll take our next question from Vahid Khorsand from BWS Financial.
Vahid Khorsand - BWS Financial Inc.: Quickly on the fundamentals, when the federal government came out last week and was talking about reducing the standards and making it easier for people to get home loans. How you see that impacting you going forward if that is instituted?
David J. Neithercut: Well, I guess if I own a lot of property in the lands in Phoenix, Dallas, I might be concerned about that. But we just don't see that as a risk to us. We, again, as I've said several times, it's a very large share of our units occupied by single individuals, a very smaller share, less than 10% are occupied by 2 adults with children. And it's also, I want to just impress upon you, it's a lifestyle choice. That not simply an economic decision. I think our residents want to live in high-density environments with proximity to public transportation, et cetera, and all the things one enjoys. I guess I'd ask everybody on the phone how many young analysts are now coming in your office, saying they're moving to suburbs because they didn't get a 93% -- 97% single-family home loan. They're not because they want to live downtown, they want to buy -- live near their friends, they want to live near where all the activity is. And I also suggest few that they really do value this flexibility of being a rental housing. I mean, just today, this morning, I got an email from my nephew in Phoenix talking about he think he might be taking a new job here in Chicago. I mean, this is a mobile segment of the population that at least at this time in their lives are not interested in single-family homeownership. We are also in markets today, where the cost of that -- those single-family homes as a multiple of incomes is significantly higher than the national average. So I would think that single-family home REITs and those who operate in lower cost markets would be more at risk of what their residents might do as a result of been able to get very expensive 97% loan value single-family mortgages.
Vahid Khorsand - BWS Financial Inc.: Okay. In the last quarter, you announced that you picked up in property in Glendale, and this quarter, you announced a property in North Hollywood and then a partial purchase in L.A. And I think it was 1 month or 2 months ago, you actually came out with a report that said they expect rents across Los Angeles to go up 8%. Do you see that actually happening? Is that too low an estimate for you? Can you give any thoughts on that?
David J. Neithercut: So I guess we won't give you any specificity about Southern California except to say that in David's earlier remarks, he noted that it was a very strong performing market this year and expected it to be a strong [indiscernible] market for us next year. So long term, we like Southern California, and are delighted with what we own and with the recent investments that we've made there.
Vahid Khorsand - BWS Financial Inc.: So if I could ask you then, do you have any impression from investors that there's a little bit of West Coast bias when it comes to your California properties because they have been surpassing growth expectation -- targets and no one seems to be taking that much notice of them?
David J. Neithercut: I'm not sure I understand the question. Certainly, Seattle and San Francisco have been some of the top-performing markets and we think David suggested that L.A., Southern California in it's top bucket. Joining those in the top buckets, so certainly the West Coast is expected to have better top line growth next year than the East Coast.
Vahid Khorsand - BWS Financial Inc.: Okay. And I guess and last question, for the property purchase, you said there was up 4.7% cap rate. Is that the stabilized cap rate? Or could you provide us with the stabilized cap rate?
David J. Neithercut: Well, that is -- it would be a stabilized cap rate, so there's still a little bit of lease up going on in that transaction, that would be a stabilized cap rate.
Operator: We'll take our next question from Tayo Okusanya from Jefferies.
George Hoglund - Jefferies LLC, Research Division: This is George on for Tayo. Most of my questions have been answered. But one thing when you talked about the increased turnover, it's mainly -- or the increases within the portfolio people moving to larger, more expensive units. Do you have any color on sort of what's the driver of that? Are these people who are making more money who want a nicer apartment? Or are these people who may be coupling up and instead of moving out to home, they're just getting a bigger apartment?
David J. Neithercut: We don't have that level of detail. I would suggest that it's probably all of the above. We know that if people get a promotion, they want to move up 10 floors and have a better view. And some people, who want to pair up with a roommate. There is no difference as bonuses don't come in as large that if somebody might have to downsize. But nevertheless, they still want to remain in the neighborhood, they want to be around the lifestyle that they have accustomed to. And I think they're willing to make whatever adjustments they need to accomplish that.
Operator: We'll go next to Michael Salinsky from RBC Capital Markets.
Michael J. Salinsky - RBC Capital Markets, LLC, Research Division: David, if you mind just going back to the changes in the quarter. Obviously, you said a 6% renewal increase, was that -- that was -- what was the new lease on a lease-over-lease basis? And how is that blended actual change in the quarter? Just trying to compare that to the second quarter acceleration that you saw.
Mark J. Parrell: Okay, the lease-over-lease was 2.3 lease. Renewal was 6 and blended 4.
Michael J. Salinsky - RBC Capital Markets, LLC, Research Division: Okay, so the blended change lease-over-lease was 4 in the quarter. Okay, that's helpful. Then, David, second question, just going back to, I think David Bragg's question, you talked about the acquisition opportunities. Just given the challenging acquisition environment, I think you said the $1.6 billion to $1.8 billion between '14 and '15. Is there any thoughts to maybe push forward a little bit more development surge into '15? Or you still comfortable with that kind of a $1.6 billion to $1.8 billion range?
David J. Neithercut: Well, I guess we're comfortable with what we talked about development being peaking this year and next year, and then kind of going back down. It's -- land sites are very expensive, construction costs are up. In places like New York City, San Francisco, you can't touch property given the strength, the strong bid from the condo builder. I guess, I mean, our instructions to our development team is we'll find a way to do whatever good development projects we can find. In New York city, for instance, that might be having to be done on ground leases as opposed to free simple. Or just finding other opportunities. And I guess I want to just emphasize sort of the word opportunities. I mean to us that means find things that we believe we can buy relatively cheap. And that's the challenge today, the guys who are working very hard bulk from the transaction group and the development group, they're trying find things that are really value creation opportunities. But it's a challenge given that the strong bid for land today, primarily from condo guys as well as the strong bid for stabilized streams of income that we're seeing from institutional buyers and the foreign buyers that Mark mentioned.
Operator: We'll go next to Nick Joseph from Citi.
Michael Bilerman - Citigroup Inc, Research Division: It's actually Michael Bilerman. Just 2 quick questions. David Santee, do you know when you talk about the intra-asset movement, which is to press the turnover stats you showed. Do you have, I guess going back on an annual basis, how many of your residents moved either intra-asset and then intra-equity because in addition to some of the reasons you cite, I assume you as a landlord and how you treat your residence and what you're offering in your buildings and how the more urban nature of your portfolio likely means more shifts within the portfolio to an equity-owned building. And I said [indiscernible] numbers to support that thesis.
David S. Santee: Yes, we measure that. We've been measuring it for the last 7 or 8 years. It's, on average, it's about 500 residents per quarter that moved, that stayed within the Equity family. Sometimes, that's just a result of how we structured the ledgers on a building, Trump is the best example where each building is a separate entity, so to speak. So therefore, it's not a transfer, it's a move out, move in. But for the most part, we track the number of people that move from what market to what market. And for the most part, it's loyal customers that want to stay within the Equity family because they've enjoyed their living experience thus far.
Michael Bilerman - Citigroup Inc, Research Division: And I guess with the increase in sort of mobility of the millennials, are you going after that more as people, if they do put up a notice of -- that they're vacating that, if they're moving to a different location, trying to get them to put Equity on the map. So if they're moving -- Neithercut talked about his nephew moving to Chicago, recognizing there's not a lot of downtown spike, but would you be able to work with that?
David S. Santee: Yes, we actually have a 1 (800) number specifically designed for that, that we have people in our call center that are referred to as relocation specialists. We recently, well, kind of, call it, back in May, we revised our transfer guidelines cost and we just made it more desirable from both an economic and ease of transfer for residence. And I think one, that's why we seen elevated transfers over the last quarter. But also, we're seeing more and more people stay within the Equity family. So we constantly look for ways to improve that experience and retain residence for a longer period.
Michael Bilerman - Citigroup Inc, Research Division: Great. And then just a question for Neithercut. On the day [indiscernible] rate comes out at 64.4%, which I think is the lowest since early '95. Sam's on record saying, you think this is going to 55%. Can you just provide some color if that's the mindset, why Sam would sell share 2 million shares of EQR in August, $130 million?
David J. Neithercut: Well, it's not my place to explain what Sam has done, except to tell you that those in the first shares of Equity Residential stock Sam has sold in 23 years. And that they were done for some estate planning purposes. And we've been assured that, that's the end of it. So I think that this was last of call of homeownership, et cetera, and more just some personal financial things that needed to be taken care of.
Michael Bilerman - Citigroup Inc, Research Division: Right. I guess as I think about EQR as an estate vehicle itself, if you believe that we are moving down to a 55% homeownership level, then we'll see continued growth in underlying cash flows, and hence, what will be dividend growth given the way you've tracked your dividend relative to free cash flow, it would just seem in congress to that sort of comment. So that's what I was trying to understand.
David J. Neithercut: I think the residual ownership interest that Sam has in Equity Residential speaks volumes about his long-term feelings about the company.
Operator: We'll go next to Buck Horne from Raymond James & Associates.
Buck Horne - Raymond James & Associates, Inc., Research Division: I just had a couple of questions. One, seems some time demographically talking about the millennial, but think about the other end of the spectrum right now, are you seeing any increases from baby boomers? And maybe the median age of your new renters, are you seeing any kind of empty nest renters looking for the downtown lifestyle right now?
David S. Santee: Yes. When we look at our average age in Manhattan, the average age in Manhattan is 40 years old. So we see these numbers pickup little by little. We've done some studies where we look at where people have moved out of some of our suburban communities, where they've relocated to. And you kind of see some minor directional hints that people are moving into the city. And one of the reasons -- when you think about -- I think about our own folks in Washington, D.C. We had our office in the suburbs, out in Tyson's corner, we moved our office right downtown DC. If you live in the burbs, even though you have public transportation subway, it's just not fully built out yet, and it could take you 3 hours to get from, call it, Fairfax into the city. So I think that's a big consideration as well, as companies continue to move their offices into the city, people don't want to deal with the traffic, so they move into the city as well and you have this outsized demand for in-town property.
Buck Horne - Raymond James & Associates, Inc., Research Division: And moving to South Florida, I just want to go back to South Florida for a second. Do you have any station between the deliveries you are seeing coming next year between how many are for-sale condos versus pure rental apartments? And maybe what kind of cap rates are we seeing in South Florida right now, both for in place asset and development deals?
David S. Santee: Well, the numbers that I quoted were for rent apartments. We build these from the ground up, a lot of people in the field validate and what have you certainly some of these could change. But David?
David J. Neithercut: Yes, I think that the good quality product in South Florida will trade at 4.5% to 5.5% cap rates today. And as demonstrated by some of the product we've been selling, so the older garden product stuff is probably close to 6%.
Operator: And at this time, we have no further questions in the phone queue.
David J. Neithercut: All right. Thank you. I appreciative everybody's time today. We look forward to seeing many of you in Atlanta next week. Have a great day.
Operator: This does conclude today's conference. We thank you for your participation.